Operator: Ladies and gentlemen, thank you for your patience and holding. We now have your presenters in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of today's presentation, we will open the floor for your questions. At that time, instructions will be given as to the procedure to follow if you would like to ask an audio question. It is now my pleasure to introduce today's first presenter, Mr. Paul Alexander.
Paul J. Alexander - Vice President-Investor Relations: Thank you, David, and good morning, everyone. Welcome to Kimberly-Clark's First Quarter Earnings Conference Call. Here with me today are Tom Falk, Chairman and CEO; Maria Henry, CFO; and Mike Azbell, our Controller. Here's the agenda for the call. Maria will begin with a review of our first quarter results. Tom will then provide his perspectives on our results and the outlook for the full year. We'll finish with Q&A. As usual, we have a presentation of today's materials in the Investors section of our website. Now as a reminder, we will be making forward-looking statements today. Please see the risk factors section of our latest annual report on Form 10-K for further discussion of forward-looking statements. We'll also be referring to adjusted results and outlook, both exclude certain items described in this morning's news release. The news release has further information on these adjustments and reconciliations to comparable GAAP financial measures. And now, I'll turn it over to Maria.
Maria Henry - Chief Financial Officer & Senior Vice President: Thanks, Paul. Good morning, everyone, and thanks for joining the call. Let me start with the headlines for the quarter. Organic sales were up more than 2%, mostly due to higher volumes. We achieved strong cost savings, margin improvements and growth in adjusted earnings per share. And cash generation was healthy and we continue to allocate capital in shareholder friendly ways. Now let's cover the details starting with sales. Our first quarter net sales were $4.5 billion, that's down 5% with a 7-point drag from currency rates. Organic sales rose more than 2% in the quarter. That was slightly below our 3% to 5% full-year target, and Tom's going to provide more color on our top line in just a few minutes. On profitability, first quarter adjusted gross margin was 36.6%, up 100 basis points year-on-year. Adjusted operating margin was 18.3%. That's up 90 basis points. In addition to this overall improvement, I'm encouraged that our margins were up in all three business segments. Our FORCE cost savings for the quarter were $95 million, so we're off to a good start relative to our full-year target of at least $350 million. Our FORCE cost program continues to help us offset currency headwinds and fund growth investments on our brands. Our Organization Restructuring remains on track and generated $15 million of savings in the quarter. Commodities were a $30 million benefit, mostly in oil-based materials. Offsetting those benefits, the total earnings drag from currency this quarter was more than 20%. In addition to translation effects of about 7%, that figure includes substantial transaction effects in developing and emerging markets. Despite this headwind, our margins in the D&E market were essentially even with year-ago levels, mostly from the benefit of price increases and cost savings. On the bottom line, first quarter adjusted earnings per share were $1.53. That's up 8% year-on-year. A lower adjusted effective tax rate contributed about 6 points of that earnings growth. As we said in January, the quarterly tax rate could be more variable this year. This is the result of timing of benefits from tax planning initiatives. For the full year, we continue to expect the tax rate to be between 30.5% and 32.5%. Now let's turn to cash flow. Cash provided by operations in the first quarter was $553 million and in line with our expectations. On capital allocation, first quarter dividend payments and share repurchases totaled nearly $500 million. In February, we announced a 4.5% increase in our dividend, taking it to $3.68 on an annual basis. This was our 44th consecutive annual increase in the dividend, helping us maintain our top tier payout in the CPG industry. We continue to expect that full-year dividends and share repurchases should total between $1.9 billion and $2.2 billion. Looking at the segment results. In Personal Care, organic sales rose more than 4%. That included 7% growth in developing and emerging markets. Overall Personal Care operating margins were 20.3%, up 60 basis points. The improvement was driven by organic sales growth, cost savings and lower input cost. In Consumer Tissue, organic sales were even with year ago as growth in North America was offset by declines in developed markets. Consumer Tissue operating margins of 18.7% were strong and up 20 basis points. Our K-C Professional business grew organic sales 1%. That included 4% growth in both North America and developing and emerging markets. Lower sales of nonwovens to Halyard Health reduced the segment top line by about 2%. K-C Professional operating margins were 19.7%. That's up 280 basis points year-on-year, and includes benefits from organic sales growth and cost savings. Before wrapping up, let me go ahead and recap. We delivered growth in organic sales and adjusted earnings per share, along with significant cost savings and margin improvements, and we continue to allocate capital in shareholder friendly ways. I'll now turn the call over to Tom.
Thomas J. Falk - Chairman & Chief Executive Officer: Thanks, Maria, and good morning, everyone. Since Maria just reviewed the financial details of the quarter, I'll focus my comments on organic sales growth and our full-year earnings outlook, then we'll open it up for your questions. So starting with the top line, as Maria mentioned, our organic sales increased more than 2% in the quarter. North America had a good start to the year with volumes up nicely in all three business segments. Internationally, we continue to grow, although at a lower than normal rate this quarter. Let me review our top line results in a bit more detail, and I'll start with our international business. In developing and emerging markets, organic sales increased 5%. Looking at some of our key growth markets, in Eastern Europe, organic sales in diapers rose 25%. That's on top of a 55% growth rate in the year ago period, which included significant volume gains in Russia in advance of a price increase. In China, organic sales in diapers were up about 5% compared to a very strong growth rate of 35% last year. Our volume growth in China remains healthy, although results were impacted by competitive promotion activity. We expect better organic growth for the full year on Huggies in China, particularly in the second half, and that reflects our plans for innovation, brand investment, city expansion, and improving category growth. In Brazil, organic sales in Personal Care fell about 5% compared to 20% growth in the base period. Volumes were impacted early in the quarter, particularly in diapers, by the price increases that we initiated in January. Category demand also continues to be down in Brazil. Nonetheless, our sales improved as the quarter progressed and we expect better results across the balance of the year. Elsewhere in developing and emerging markets, our feminine care and adult care organic sales were both up double-digits in the quarter, and baby wipes organic sales were up high single digits. So we remain very optimistic about our developing and emerging markets businesses, and we continue to target high single-digit organic sales growth for the full year. Stronger results in Brazil and China, along with more benefits from innovation launches and selling price increases, should help us deliver higher growth compared to the first quarter. Moving to our developed markets business outside North America, organic sales were down slightly. We continue to generate good growth in South Korea, while market conditions were challenging in Western and Central Europe. Turning to our North American consumer businesses, our teams there delivered another strong quarter, with 4% volume growth and healthy market shares. Innovation, great marketing programs, and good retail execution continued to drive results across our portfolio. Adult care volumes increased double-digits in the quarter with strength on both Poise and Depend. Baby wipes and child care volumes each rose mid-single digits. Consumer Tissue volumes improved 3% with growth in all categories led by Viva and Scott paper towels and Kleenex facial tissue. Overall, our brand positions are healthy in North America. Our first quarter market shares improved or were even with prior year levels in seven of the eight consumer products categories in which we compete. And that includes diapers where Huggies' shares were up more than a half a point year-on-year and up almost two points sequentially. Looking ahead, we have a number of near term innovations launching in North America. That includes our best ever Pull-Ups training pant, upgrades on Huggies diapers and baby wipes, and new and improved Poise and Depend adult care products. Finally, in K-C Professional in North America, our organic sales were up 4% in the first quarter. Execution and volume growth was good in both washroom products and our higher margin wiper category. Now, moving on to our outlook for the year. We continue to target organic sales growth of 3% to 5% for 2016. Compared to the first quarter, we expect more benefits from targeted growth initiatives, product innovations and improved net realized revenue. Our currency and commodity markets remain volatile. As we mentioned in this morning's news release, our current assumptions have improved somewhat compared to three months ago. And while this helps our U.S. dollar results, it also means we're expecting less benefits from selling price increases this year. As we said before, it's important to look at currencies, commodities and selling prices together since they are all related. We're now planning that the net impact of these three factors will be a mid to high single-digit drag on our bottom line growth this year, and that's slightly better than what we shared with you in January. If this turns out to be the case, we'll have added flexibility to invest more behind our top line growth initiatives. So putting it altogether, we continue to expect adjusted earnings per share in the range of $5.95 to $6.15. That represents 3% to 7% growth year-on-year, which we continue to believe is a good outcome in this environment. So in summary, we continue to execute our Global Business Plan strategies, we expect to deliver on our financial commitments again this year, and we're optimistic about our prospects to continue to generate attractive, long-term shareholder returns. So that wraps up our prepared remarks, and now, we'll begin to take your questions.
Operator: Our first question will come from Lauren Lieberman with Barclays.
Lauren Rae Lieberman - Barclays Capital, Inc.: Great. Thanks so much.
Thomas J. Falk - Chairman & Chief Executive Officer: Hey, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: Good morning. Just on D&E in Personal Care, you've been pretty clear on your view and optimism that it will get better from here. The comparisons weren't a surprise. That was known. So, what was it in the quarter that ended up being a negative surprise? You said it was early in the quarter. Is there anything in particular you can call out that took you by surprise?
Thomas J. Falk - Chairman & Chief Executive Officer: So, I mean, I wouldn't say surprise so much as it was a little bit tougher situation in a couple markets, Brazil in particular. The category volume for diapers and bath tissue is probably down about 4%, at least in the measured from Nielsen. Category value is pretty flat from pricing. So, you don't see category consumption go negative in markets in diapers and bath very often, so that was probably a bit unusual. It reflects the, kind of, the tougher economic conditions in Brazil, I'd say. So that was probably one that we'll be facing this year. On the other hand, we pushed hard on price in January. Some retailers pushed back, so we had a little bit of volume hit on that front that picked up sequentially as the pricing went into the marketplace. And so, that gives us some confidence that through price and a little bit better volume in the back half of the year, we'll put a better result on the board in Brazil. China had more price competition in the quarter. We had a very strong fourth quarter with a big push on Singles Day and e-commerce. Had a strong January with some Chinese New Year stuff and I think some of the other competitors spent a little bit more aggressively. And we wanted to make sure we sustained our momentum, so we met competitive pricing where we needed to to make sure we kept our volume growth growing and had good double digit volume growth in China. And so, I expect that to continue as well. And if you look going forward in China, price cut competition kind of did heat up in the second half of the year, so our comps get a little easier on that as we roll into the back half of this year.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. Great. And on Brazil, I guess, one would be, are you assuming that this kind of negative volume growth persists through the year? Is that part of the forecast at this point?
Thomas J. Falk - Chairman & Chief Executive Officer: I would say we're still trying to figure out how much of it is household inventory destocking, or am I just buying smaller count packs? And is that part of it versus how much of it is, have I shifted into the category, am I consuming less? And so, I'd say, we're probably not modeling it to be as bad as it was in the first quarter, but we're not expecting a robust category growth story in Brazil this year.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. And then just finally overall on demand in emerging markets, I did think it was interesting that K-C Professional actually looked pretty solid. And you hear sort of macro-wise, is it perhaps industrial production, things are getting better. So, any view on kind of the lag or the relationship between KCP being a leading indicator for where consumer demand ultimately goes?
Thomas J. Falk - Chairman & Chief Executive Officer: Well, I tell you, in North America, we had a strong quarter. We probably picked up some share. We had better execution, so the kind of 4%-ish growth that we saw in North America is probably ahead of category. And again, the shares aren't as robust and reliable as Nielsen, but what we have seen would say that we've picked up a little bit of share in North America. In developing and emerging markets, I think what you're seeing in addition to the underlying economic growth is a positive trend toward better workplace conditions. And so, better access to having towels and tissue in the workplace, more awareness of need for safety gear, and having the right gloves and glasses and ear protection, et cetera. And so, I think that's a trend that will continue as more and more companies are really held to the same worker safety standards.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. All right. Great. Thank you so much.
Thomas J. Falk - Chairman & Chief Executive Officer: Thanks, Lauren.
Operator: Our next question comes from Bill Schmitz with the Deutsche Bank.
Bill Schmitz - Deutsche Bank Securities, Inc.: Hey, Tom. Good morning.
Thomas J. Falk - Chairman & Chief Executive Officer: Hey, Bill.
Bill Schmitz - Deutsche Bank Securities, Inc.: Hey, can you just talk about the pacing of the organic growth throughout the quarter both for you guys and the category? I know it's still really early, but how's April sort of shaping up?
Thomas J. Falk - Chairman & Chief Executive Officer: Actually, I haven't seen a ton of data on April because I've been spending some time getting ready to explain the first quarter. But I would say the momentum throughout the first quarter, particularly in some of the key emerging markets, they had a stronger March than they started the year, and so that's a positive sign. I was just with a lot of our international teams recently at our brand week, and I would say everybody is expecting their results to improve as the year progresses, so.
Bill Schmitz - Deutsche Bank Securities, Inc.: Okay. Yeah, that's helpful. And then just on the 9% emerging markets growth, what do you -- and this is probably an industry question also, but as the pricing rolls off, doesn't volume become a much bigger component of the sales algorithm? And what does that mean in terms of advertising spending and what you need to do when you shift from inflationary pricing to volume growth?
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah, no. Absolutely, volume growth and category penetration, category development is going to be a key part of it. And so we've continued to invest more in emerging markets, particularly as you're opening up new market areas. So, as we've gone into Africa and places like Kenya and Nigeria, you do wind up spending ahead of your sales value to develop the category. So, yeah, but again, I don't think it's going to be one that's going to shift our P&L in a dramatic way to achieve that. I mean, we are getting some efficiency and moving more to digital and getting some pretty good ROIs on that move as well.
Bill Schmitz - Deutsche Bank Securities, Inc.: Okay, that's helpful. And then just one quick last one on the gross margin outlook. How do you see it pacing throughout the year? And the reason I ask is I think you did sort of $30 million of commodity deflation this quarter. So, that's a little bit less than half at the midpoint of the full-year target. So, is that the way to kind of look at the gross margin outlook? And I know there's probably some currency puts and takes, as currency gets a little bit more favorable probably in the gross margin line in the back half.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah, I mean, Bill, that's probably a hard one to call just because there are such big, moving factors in it. It's going to be the combination of how does pricing commodity costs and currency hit in any particular quarter. So, I'd say we're pleased with the progress in the first quarter, and are looking forward to that continuing as the year progresses.
Bill Schmitz - Deutsche Bank Securities, Inc.: Okay. Great. Thanks so much.
Operator: Our next question comes from Ali Dibadj with Bernstein.
Thomas J. Falk - Chairman & Chief Executive Officer: Morning, Ali.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys. Hey. So, I want to go back to the top line acceleration expectations for the rest of this year. And you mentioned three drivers. Targeted growth initiatives, would love to understand what that means. Product innovations, is that to gain share or grow price or kind of more context about product innovations, if you can? And the last one is improved net realized revenues. And I'm trying to figure out how you do that one, especially if there's more competition in China in particular. It doesn't look like it abating in the U.S. If there's a little bit of a tougher consumer market in Brazil and in Latin America broadly. And I'm trying to understand how you're saying improved net realized revenues will drive a top line, but at the same time in the 2016 outlook, you say benefits from higher net selling prices are expected to be somewhat lower than prior assumptions. So, I'm trying to figure out what that difference means. So, those three buckets, but really more time obviously on the net realized revenue and what sounds like a contradiction in your strategy.
Thomas J. Falk - Chairman & Chief Executive Officer: No, well, let me come at a different way, Ali, and say, so if you look at diapers in China and Brazil, which were the two soft spots, and set those aside for a second and say, gosh, fem-care was up double-digits in D&E, adult care was up double-digits in D&E, baby wipes were up high single digits in D&E. So, really a continued strong performance of the trajectory that we've been on, pretty broadly based across lots of markets, behind good innovation, behind great marketing, behind good execution in market. And so, that's all going to continue. And so, I think on the China and Brazil question, we talked about those. So, China, underlying volume growth in diapers was good. The price competitiveness was tougher than maybe we expected going in. On the other hand, we're going to lap some – when that started in the second half of this year. And so, we'll see where it goes from here, but our expectation is that it's not going to get worse. And in Brazil, that's probably one where the categories have had some more challenges. And so, we have been aggressive on pushing price, given the currency transaction hit that's taken place there. And to the question of the contradiction, I mean, I don't think it's a – we're comparing to two different things. So, one was compared to our original guidance for the year. We're probably going to get a little less price than we thought because currency is a little bit less negative than we thought. So, the need to get prices is not as great. On the other hand, sequentially, we still are going to get year-on-year benefit from price as we roll through the year. So, we didn't get it all in January. We announced it during the quarter, and so we'll get some benefit as the year picks up, but not quite as much as we thought going into the year. So, we're just trying to provide you with those two perspective, versus the plan and versus prior year, to help you see it the same way that we're seeing it.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: So, what I'm trying to understand is then what gets better, right? So, pricing is one of the ways things get better, but you're going to be taking less than you expected, how does that get you out of the hole you're, right, that you are right now? And you can talk about it with or without soft spots in China and Brazil. I mean, there's a hole in the top line growth and I'm trying to find out – I'm trying to understand if it's not pricing, because that's going to be a little bit worse than you expected, what is it that you're changing, right?
Thomas J. Falk - Chairman & Chief Executive Officer: Well, the pricing comps are going to get better, so, I mean, some of the prices – so, in U.S. diapers, for example, we started a lot of the Huggies Snug & Dry price alignment in the second quarter. So, there was a first quarter comp there that was still negative. That will get – that comp will get easier in the second quarter and second half. China diapers, the pricing and competitive environment started to heat up as we rolled into the second half of last year. That comp gets easier as we roll into the back half of this year on the price front. So, the comps get a little easier on the pricing standpoint, and I think that first quarter was probably the low point for that.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: But that's – so I apologize for this, but that's not new, right? You're saying just for take pricing, you were going to take pricing, the comps get easier. But you knew that and you're saying now you can't take as much pricing as you planned to at the start of the year, right? That's what the outlook statement says.
Thomas J. Falk - Chairman & Chief Executive Officer: Right.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: But you're also saying you're going to take pricing to offset the slower growth this quarter, which is clearly below your expectations. So, I'm just trying to figure out how to bridge that gap, right?
Thomas J. Falk - Chairman & Chief Executive Officer: No, no, Ali. I'm not saying, we're not going to take price to offset the slower growth this quarter. I think we are saying that we are going to take more price as the year progresses in markets where we've had that, but not quite as much as we thought going into the year.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. Okay, so can – on another note, can you talk about the cost savings ramp-up that you had, looked pretty good for the quarter? What specifically are you seeing in terms of opportunity that allows you to ramp up the cost savings plan this year? Thanks.
Maria Henry - Chief Financial Officer & Senior Vice President: Yeah, we're happy with our FORCE cost savings in the first quarter. We delivered $95 million, and so that's a good start against our full-year target of $350 million in savings. The teams delivered across all three of the major areas that we look to, to drive cost savings, so negotiating material prices were very strong in the quarter, the global procurement team did a great job to start out the year. We – the progress in optimizing the cost of our products specifications, and we also got improvements in productivity waste within our supply chain and manufacturing operations. So good start to the year, happy with what we were able to deliver on FORCE.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay, thanks very much.
Thomas J. Falk - Chairman & Chief Executive Officer: Thanks, Ali.
Operator: Our next question will come from Stephen Powers with UBS.
Stephen R. Powers - UBS Securities LLC: Great. Hey, thanks. Maybe just following up on Ali's question on the top line there, not to belabor it, but you obviously talked – you talked about what's in your control, the innovation, the distribution gains. Can you just be a little bit more specific about what you're assuming from here sequentially on both the macro environment, stable, better, worse; as well as the competitive environment, stable, better, worse, versus what you saw in Q1?
Thomas J. Falk - Chairman & Chief Executive Officer: Any particular geography you're interested in or just broadly?
Stephen R. Powers - UBS Securities LLC: Well, broadly. And then I've got a drill-down question on China specifically. So I want to – but yeah, broadly.
Thomas J. Falk - Chairman & Chief Executive Officer: If you look at the macro environment, we put a lot of the assumptions in the guidance deck. But it's essentially, we're not assuming spot currency rates. We're assuming – we look at forwards, so we – the rates in our guidance probably aren't quite as favorable as what's in today's spot, but it's somewhere between where it was at the beginning of the year and where the spot rates are at this point in time. So if spot rates stay where they're at, there's probably more favorability on currency and maybe more risk on pricing. On commodities, pulp got a little better in this forecast than where it had been. In terms of underlying economic growth in individual markets, again, we continue to say relatively modest growth environment. We're not predicting a huge falloff or any other kind of economic crisis developing in a major market anywhere in the world at this point in time. Brazil is probably the one that we're watching most closely as obviously expecting slower category growth getting back to a – for them getting back to a flat organic growth number for the year will be the first priority given that they started out the quarter with negative 5% on diapers. In terms of the U.S., actually, we saw probably better growth in our business than the underlying category growth because we picked up share in a number of markets and consumers are still responsive to innovation. We saw private label shares flat to down in nearly every category that we're in, which is again another sign of health of the consumer for us, and are probably maybe more bullish on the outlook in North America at this point in time than maybe we would have been even at the beginning of the year.
Stephen R. Powers - UBS Securities LLC: Okay. And competitively, are you – is there any pockets of – where you're expecting more competition than what you've seen so far?
Thomas J. Falk - Chairman & Chief Executive Officer: I would say China is probably one that has become more competitive. It's a terrific market. There's still great category growth. We're still expanding into more cities. The consumer is very responsive to innovation and it's worth investing in. The good news in China is that even though it's been more price-competitive, we've also been very aggressive in China on cost savings. So our gross margins in China have been stable or even a little bit better despite the price investment to stay competitive in those markets. So our team in China has done a terrific job of executing their plan and improving the shape of their P&L.
Stephen R. Powers - UBS Securities LLC: Okay. And in China specifically, we too had picked up on intra-quarter sort of intensity picking up, especially in fem-care, online, and especially in the value tier. But from your comments, this kind of confirms my fears that – sounds like it was a little bit more broad-based. Would you say it was more focused in one category, one price tier, one channel specifically, or is it – was it broad-based? And it sounds like you expect it to persist.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah, I would say for us, our fem-care business had a pretty strong quarter, probably a little bit less price sensitivity than we saw in diapers. We're probably not as well-developed on fem-care and e-commerce as we are in diapers. And certainly, e-comm was a more competitive marketplace, but then, yeah, that also drives pricing in your more traditional brick and mortar channels because everyone's got price transparency in what the deals are everywhere these days.
Stephen R. Powers - UBS Securities LLC: Okay. Great. And last and I'll move on. But is – any comments you might have about the cadence of marketing spend throughout the year as you follow through on the new innovations that you called out? Thanks.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah, we got a lot of launch activity coming. And so, I'd say our first quarter, we were, I think, down slightly year-on-year and up slightly from our prior year average. But we've got a lot of stuff coming in – launching in the second quarter in a lot of markets. So you probably will see it slightly higher, although again, it's not a big driver of our P&L.
Operator: Our next question comes from Olivia Tong with the Bank of America Merrill Lynch.
Olivia Tong - Bank of America Merrill Lynch: Good morning. Thanks.
Thomas J. Falk - Chairman & Chief Executive Officer: Hey, Olivia.
Olivia Tong - Bank of America Merrill Lynch: Hi. How are you?
Thomas J. Falk - Chairman & Chief Executive Officer: Pretty good.
Olivia Tong - Bank of America Merrill Lynch: In terms of the year, is there more innovation this year than in years past to provide – to help out that acceleration come along?
Thomas J. Falk - Chairman & Chief Executive Officer: I don't know if we have a good way of measuring that. On the other hand, I feel really good about our innovation across a number of categories. And so we've got some terrific things coming on diapers in lots of markets, diapers and diaper pants. And that's going well. We've had a lot of innovation on baby wipes and have seen good responsiveness to that. Our fem-care team has great innovation coming. Adult care is launching innovation in lots of places. We had some good things happening on Consumer Tissue as well. Our K-C Professional team has had lots of new products in the market. So we've got a lot of things to talk about. And we were – I was just with a lot of our key customers in the U.S. at our – at the National Association of Chain Drug Stores Annual Meeting where you do one-on-ones with customers across all classes of trade that run drug departments. And our customers are pretty happy with the innovation that we've got coming and are pretty excited about pulling that into their retail environment.
Olivia Tong - Bank of America Merrill Lynch: Tom, that sounds great, but it doesn't sound like the innovation delta relative to years past is going to change materially. So if China is getting more competitive and price was clearly a bigger factor in Q1, and that's here to stay, and emerging markets are so much more challenging in Consumer Tissue that volume is actually taking a big step down, what drives that acceleration then as the year progresses?
Thomas J. Falk - Chairman & Chief Executive Officer: Well, I'd say the underlying volume growth in China was very, very strong. Yeah, it was still strong double-digits in diapers and in fem-care. The pricing comps get easier because some of the pricing competitiveness started in the second half of last year. So I'm confident China is going to post another solid growth year, even though they started out in diapers a little slow due to the lapping or the rollover of the pricing initiatives. And as you look across our markets, Brazil, we talked about, had a little bit of a slow start. Expect that to pick up and close the gap. But we had good underlying performance in really most of our other markets, so I'm pretty confident in the team delivering the plan this year.
Olivia Tong - Bank of America Merrill Lynch: Got it. That's helpful. Thank you. And then on the diaper volume being flat in North America, obviously, it's hard to tell sometimes with the Nielsen data, but the Nielsen data did look fairly favorable, and typically, correct me if I'm wrong, some of the non-tracked channels, particularly online, does better than the tracked channels. So was there an inventory issue or were there just divergents in terms of trends in tracked versus non-tracked?
Thomas J. Falk - Chairman & Chief Executive Officer: No, I mean, there had to be some inventory change in there because we picked up share. We were up 2 points sequentially and up a half a point year-over-year. Last year, we were selling in the Snug & Dry relaunch, so there could have been some effect of that. We had a strong fourth quarter, so there could have been some early January promotional buying that got shipped in December. But by and large, I'd say we look at our weekly consumption and we're pretty happy with the trends, and eventually, that shows up in volume. So I'm not too worried about that one.
Olivia Tong - Bank of America Merrill Lynch: Got it. Thanks so much.
Thomas J. Falk - Chairman & Chief Executive Officer: Thank you, Olivia.
Operator: The next question comes from John Faucher with JPMorgan.
Thomas J. Falk - Chairman & Chief Executive Officer: Hey, John.
John A. Faucher - JPMorgan Securities LLC: Hey, Tom. So, I guess as you think about Brazil, I guess, I understand why the trends at their current level really aren't – you expect a bounce-back. But I guess as I look at this, right, we look at the Latin-American pricing and the FX-driven pricing rolling off, where does the volume come from? Is it market share, right? Because birth rates aren't changing in that context. So as the volume improves sequentially, is it market share because U.S. brands are less uncompetitive from a pricing standpoint? Do consumers use more diapers, what have you? So does that question make sense? Why would the revenue get better as the volumes sort of need to catch up as you lose the FX-related pricing?
Thomas J. Falk - Chairman & Chief Executive Officer: So, maybe let's shift markets, John. And so we'll talk about Colombia, which has also had a big currency hit. Right? And it's not one that we usually talk about a lot because it's a relatively small market than the Indian market, but they had 20% organic growth last year, I think they were up 25% in the first quarter. And it's challenged, it's got some linkage to the oil trade, although not as much as others, but they've suffered from some of the same currency devaluation and have pulled through it. You look at Eastern Europe, what's going on in Russia and CIS. Big currency devaluation, strong price increases, some negative GDP, and yet, we're still seeing reasonably strong underlying volume growth and category demand. And so Brazil is a little bit of an outlier right now and we're trying to make sure we understand what's actually going on there from the consumer standpoint. On the tissue front, you saw in lots of markets this quarter, slight negative volume and positive price because we were pushing hard to get price in that market, especially because you're buying pulp in dollars and you've got a big transactional impact, and you've got to recover some of that to hold your P&L in shape. And that eventually will work its way through and you'll return to the more normal population-driven growth on Consumer Tissue, I think. But, yeah, I do believe that Brazil will get better, but it's probably going to be a challenging year there this year.
John A. Faucher - JPMorgan Securities LLC: Okay. Great. So the way to think about that is maybe on the tissue side, the consumption gets whacked more by the pricing. Because on the diaper side, again, I guess it doesn't seem like it'd get hit that hard, but tissue is one where you feel like the actual pound consumption usage does get hit harder by the pricing.
Thomas J. Falk - Chairman & Chief Executive Officer: Well, it's one that when you push pricing in a market like Brazil where there's a substantial amount of general trade, initially, they will push back. So January sales were soft as we pushed pricing and they said, no, thanks, and you take a volume hit. As we look at our shares in Brazil, we only have January and February, we don't have March data yet, but we were down about a point in diapers in the first two months, up a couple of points in fem-care and I think relatively flat in bath tissue. So I'd say not a big shift from a share standpoint despite the volume hit. And as March volumes were better, I would expect that we got a lot of that share back. And at the end of the day, you want to make sure you're holding or gaining share in those markets amid all the volatility of commodity and pricing changes.
John A. Faucher - JPMorgan Securities LLC: Great. Thanks.
Thomas J. Falk - Chairman & Chief Executive Officer: Thanks, John.
Paul J. Alexander - Vice President-Investor Relations: Thanks, John.
Operator: Our next question comes from Erin Lash with Morningstar.
Erin Lash - Morningstar, Inc. (Research): Hi. Thank you for taking the question. I was wondering if you could kind of delve into a little bit more detail in terms of the competitive environment in China. And you talked about increased promotional activity, and whether that increasing competitive pressures are from other national players or whether you're seeing that from the locally domiciled peers in the market?
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah. I would say in China in particular, the toughest competition of late has been our two Japanese-based competitors, Kao and Unicharm. Obviously, the weaker yen last year helped them support that in a way. At least it didn't have as big of a negative impact on them relative to what was going on in the U.S. And so they've been more aggressive, Kao in particular. We've been gaining share, Kao has been gaining share, Unicharm has been losing share. And so there's been more competition in that direction. Huangong (39:03), we do run into at the low end of our business and the high end of their business, but I wouldn't say they've been the aggressor as much as the other multinational competitors.
Erin Lash - Morningstar, Inc. (Research): Thank you. That's very helpful. And then I think you mentioned earlier in the call about more of an increased propensity to spend in North America. One of the categories that had been challenged, I think, over the last few years has been Pull-Ups in particular, given that consumers haven't necessarily been placing their kids in Pull-Ups and keeping them in diapers when potty training. I know you talked about a new Pull-Up launch innovation coming to market later this year. I just wondered if you could kind of bridge that gap, and whether you're already seeing improving trends within that product category or whether you foresee that happening later in the year into next year.
Thomas J. Falk - Chairman & Chief Executive Officer: Well, we've actually – it was nice to see a good mid single-digit volume growth on our childcare business this quarter. And that was ahead of the product launch, which is rolling out literally as we speak. And so we're really excited about what this new product can do, and we hope we will see some category uptick as we roll into the summer season, which is typically a bit of a seasonal peak for Pull-Ups, and we'll see how that plays out over the second quarter and third quarter.
Erin Lash - Morningstar, Inc. (Research): Okay. The mid single digit volume growth was across childcare, though, right? So that was both diapers, as well as Pull-Ups, as opposed to Pull-Ups exclusively?
Thomas J. Falk - Chairman & Chief Executive Officer: The – no, childcare was – we define it as essentially just Pull-Ups, GoodNites and Little Swimmers.
Erin Lash - Morningstar, Inc. (Research): Okay.
Thomas J. Falk - Chairman & Chief Executive Officer: So diaper volume, we would measure separately.
Erin Lash - Morningstar, Inc. (Research): Okay.
Thomas J. Falk - Chairman & Chief Executive Officer: And really, in that childcare space, it was really all driven by Pull-Ups.
Erin Lash - Morningstar, Inc. (Research): Okay. Long term...
Thomas J. Falk - Chairman & Chief Executive Officer: So it was a little early in the first quarter (40:42) Little Swimmers volume. That's more of a second quarter and third quarter business.
Erin Lash - Morningstar, Inc. (Research): Got it. Thank you very much. I appreciate it.
Thomas J. Falk - Chairman & Chief Executive Officer: Thank you.
Operator: Our next question comes from Jason English with Goldman Sachs.
Thomas J. Falk - Chairman & Chief Executive Officer: Hey, Jason.
Jason English - Goldman Sachs & Co.: Hey, good morning, Tom. Thank you, guys, for the question. I feel like we're beating this up pretty good, but I do want to come back to Brazil real quick. You referenced the January-February data out of Nielsen. And when we look at that data, it shows your sales up 5% when it's lagging the category up plus 9$. Reflective of the 100 bps of share loss, it's still positive. So – and you sort of referenced (41:36), some retailer reaction.
Thomas J. Falk - Chairman & Chief Executive Officer: Yes.
Jason English - Goldman Sachs & Co.: How much of the weakness in Brazil do you think was maybe just that, a bit of a destocking effect or retailer backlash? And you said you saw a pickup in March, at least from a shipment perspective. Can you give us a sense of sort of where you're running as you came out of the quarter?
Thomas J. Falk - Chairman & Chief Executive Officer: On the Nielsen data, as you know, it doesn't cover the traditional trade very effectively, and that's probably where we had more of the volume hit in the first part of the quarter. And that is the part where they will have more inventory swings. I know you hear that from other CPG folks as well. And so, in terms of as we exited the quarter, I don't know if I've got any specific data other than it was a nice, sequential uptick from where they've been running in the first two months. So, we'll see what the shares look like.
Jason English - Goldman Sachs & Co.: Yeah. So, you're seeing a little bit of improvement at the end of the quarter. North America maybe a little inventory shipment, so maybe that was subdued. So, some reason to believe it does get better on the forward.
Thomas J. Falk - Chairman & Chief Executive Officer: Jason, I'm way more bullish than the rest of the guys on this call. I have a lot of reasons to believe actually.
Jason English - Goldman Sachs & Co.: Well, good. I'm glad. I'm glad. I hope it all plays out in the numbers on the forward. A question for ...
Thomas J. Falk - Chairman & Chief Executive Officer: By the way, Jason, hope is not a strategy. So, we're going to make sure we deliver it.
Jason English - Goldman Sachs & Co.: Right on, Tom. That's exactly what we love to hear. Quick question for Maria on the FX impact. The 20% number is a big number. It implies much more of a multiple on sales than we've seen in the past from a transaction hit. Just back of the envelope, it suggests that maybe the transaction that EBIT had on the sales was around a 29% margin versus 19% last year. Why the uptick on transactional leverage? Anything unique to be aware of? And as we think about the forward, I think on the last call, you had said sort of all-in, a 15% drag. Where does that number stand today based on sort of, at least, your currency assumption even if it's not on spot?
Maria Henry - Chief Financial Officer & Senior Vice President: Sure. The relationship between the top line and the bottom line in terms of the currency hit depends on where the currencies are moving and, in particular, for this quarter, we had significant impacts in places like Eastern Europe, Russia, and in Latin America, Brazil. And given where the mix of the currency changes, the biggest currency impacts hit, that's what drove the bottom line impact to be a stronger multiple of the top line impact than what we're typically used to seeing. So, it's mostly mixed-driven.
Jason English - Goldman Sachs & Co.: Okay. And that 15% figure from last quarter?
Maria Henry - Chief Financial Officer & Senior Vice President: 15% was the combined impact of currency, commodities pricing for the overall – the – Paul, remind me on the 15%.
Paul J. Alexander - Vice President-Investor Relations: Yeah, let me just build on that. So, yeah, we said last quarter approaching 15% for an all-in currency impact. As you see in the release, we said that translation impact is expected to be toward the low end of the 5% to 6% range. So, adding in a reasonable multiplier effect, it should be in the low double-digits of a drag for the year for currency.
Maria Henry - Chief Financial Officer & Senior Vice President: Just on the currency side.
Paul J. Alexander - Vice President-Investor Relations: Yeah.
Jason English - Goldman Sachs & Co.: Got it. Thank you so much. I'll pass it on.
Paul J. Alexander - Vice President-Investor Relations: Thanks, Jason.
Maria Henry - Chief Financial Officer & Senior Vice President: Thanks.
Operator: Our next question comes from Caroline Levy with CLSA.
Thomas J. Falk - Chairman & Chief Executive Officer: Hi, Caroline.
Caroline Levy - CLSA Americas LLC: Thanks. Good morning. Hi. I wonder if you can update us on the Poise Impressa product.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah. Sure. I would say, so far it's going quite well. And so, it was – Paul, what, a couple points of our growth in Depend in the quarter. So, we're up double-digits in the U.S. We would have been about 8% ex Impressa. So, it's having a meaningful impact. We were just with our retail customers at the Chain Drug Store Convention as I mentioned, and they were very, very bullish on what they're seeing so far. We're doing some work to kind of assess what we've learned since the launch, what price points work and how do we get even more impact and improve our mix at shelf. And so, we'll be making some adjustments on shelf position and promotion strategy as we roll through to help it go even a little bit faster, but so far so good. And obviously, this is one that will take a bit of time for consumer behavior to change, but it is an exciting solution for an issue that some women have and another approach for them to help them improve their quality of life.
Caroline Levy - CLSA Americas LLC: Thank you. That actually gets to the second part of the question just on innovation in general. Would you say that, in general, you're premiumizing and getting pricing through mix when you innovate? It's a sort of broad-based question across all categories.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah. I would say that you want to try to create value from your innovation at whatever tier you innovate in. So, if you're innovating on something we're doing on Scott tissue, you want to also be able to create value for your consumer and for your business if you can. So it isn't – we are trying to premiumize where we can, but some of the things we're doing, we're launching more of a value-tiered diaper pant in many markets, but it's a better solution. It's a premium to other value-tiered diapers, but it's still aimed at the value consumer. And so, we are trying to make sure we're innovating at relevant price points across our product spectrum.
Caroline Levy - CLSA Americas LLC: Thank you. And then just thinking about your pricing being flat overall for the company for the quarter and down in Europe/South Korea, up 5% in EM, flat in North America, I would have thought South Korea/Europe was a much smaller percent of the volume. And so net-net you might have had some benefit of pricing. Can you tell us how to think about that today and also going forward?
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah, sure. In our developed markets outside the U.S., so Western Europe, Central Europe, Korea, Australia, primarily, those are markets that are traditionally fairly challenging to get pricing in. Those are also markets where we do some hedging of our transactional currency exposure more regularly. And so, the need to get price to cover your transactional currency hits is also less than you would see in a market like Brazil or Russia. And so, I would say, yeah, we typically go into the year not expecting to get much price. If you do get revenue realization, it's going to be more through mix or innovation than through absolute list price change.
Caroline Levy - CLSA Americas LLC: But do you think that trick continues to trend down in those developed markets?
Thomas J. Falk - Chairman & Chief Executive Officer: In terms of price or volume, or...
Caroline Levy - CLSA Americas LLC: Price, price.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah, no. I would say we don't expect to get much of any price realization this year. And in markets like Western Europe, you could see some price erosion as those markets are a little bit more competitive. South Korea, overall, is a very strong market for us. We had a terrific first quarter, had very strong volume growth. You continue to see some move to e-commerce in that market, and so that sometimes can result in a bit of a price drag as the channel shifts to that direction. But by and large, we're not seeing much price move up or down in the developed markets.
Caroline Levy - CLSA Americas LLC: Okay, just lastly on that, thank you so much, but if you think about e-commerce growing incredibly rapidly in, say, China and some of the Asian markets, I think that probably foreshadows what's going to happen more globally. Do you think net-net that is negative for pricing, online growth?
Thomas J. Falk - Chairman & Chief Executive Officer: We are looking to see how e-commerce does scale. And it's certainly in a market like China, where it may be skipping a generation of retail development, you don't have as many retail channels developed in a lot of those markets, and you are seeing very dense population, very high smartphone penetration, and a much lower delivery cost to get that last mile delivery. But I think almost every retailer these days is looking at an online option, even if it's click and collect in their existing retail space. And so, I think what you are seeing is more price transparency, and so that probably has an effect on particularly retailers that have a high-low strategy. But I think we'll have to wait and see how e-com develops as more and more traditional retailers get in the game with click and collect and other things.
Caroline Levy - CLSA Americas LLC: Thanks so much. That's really helpful.
Thomas J. Falk - Chairman & Chief Executive Officer: Thanks, Caroline.
Operator: Our next question is from Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research LLC: Hi, good morning.
Thomas J. Falk - Chairman & Chief Executive Officer: Hello, Javier.
Javier Escalante - Consumer Edge Research LLC: Hello. How are you?
Thomas J. Falk - Chairman & Chief Executive Officer: Very well.
Javier Escalante - Consumer Edge Research LLC: I need a couple of clarifications on the pricing front. In the U.S., I've been trying to reconcile the commentary on volumes and market share and yet this low top line. Is it an issue of that the relaunch of the Huggies Snug & Dry has a lower price realization and you're seeing negative mix, or is it more that you spend a lot on the trade to push innovation and you didn't get the lift that you expected to get in North America? And I have another clarification in China.
Thomas J. Falk - Chairman & Chief Executive Officer: Are you just talking about diapers, Javier? Because, overall, our North American volume was pretty good.
Javier Escalante - Consumer Edge Research LLC: Diapers. Diapers. Diapers.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah.
Javier Escalante - Consumer Edge Research LLC: I know. I understand the volume was pretty good. But I'm looking at diapers, and in general, say, diapers/Pull-Ups, say, training pants. Not just specifically diapers/child care.
Thomas J. Falk - Chairman & Chief Executive Officer: So, in diapers, we started the Snug & Dry relaunch last year in the second quarter. And that was with a price reduction to narrow the gap and get the value right relative to some of the other more value-oriented products that are in the market. And so, we've seen, since that, a better performing product at a more attractive price, consistent progress on volume and share. First quarter was a little light on volume. We talked a little bit what might have caused that. Some of that could have been sell-in last year for the Snug & Dry launch; some of it could have been a little stronger December. But by and large, as we look over since the relaunch, our volumes are up nicely, our share is improving. Long way to go; we're not declaring victory on that front. On the Pull-Ups front, if you look out over multiple quarters, we really realigned some of our pack count price architecture in the second half of last year, saw some better performance in the category late in the year. Still not where we want it to be. Had a better start to the year in the first quarter but the Pull-Up's strongest selling season is typically second and third quarter. We've got a new product out and we'll see how it goes in the second and third quarter, but we're optimistic about it.
Javier Escalante - Consumer Edge Research LLC: Just to clarify, again, in North America. Did you increase trade spending and that's why that contributed to the lack of pricing in the quarter or not?
Thomas J. Falk - Chairman & Chief Executive Officer: And so, whether it's a trade or list price reduction, to us, we would treat it the same way. It's a price reduction. And so, on Snug & Dry, we did reduce the price into our retail partners to narrow the value gap. I don't know if we did it through a trade promotion allowance or through a list price change, but the effect is the same in the marketplace.
Javier Escalante - Consumer Edge Research LLC: Okay. Thank you very much. And finally, on China, again, just one clarification. So, the competition seems to be more on the (54:27) because this is where Kao and Unicharm operates and also in the main cities in China. Procter just launched – or launched a few quarters ago a premium diaper. Could you comment whether that launch somehow had a negative impact on your own trends and whether that diaper is priced below yours, if you can clarify that? I mean, The Premium Pampers that Procter had been working on? Thank you.
Thomas J. Falk - Chairman & Chief Executive Officer: Yeah. I know Procter has launched -- again, I would say we would see more aggressive competition from some of our other multinational competitors and we try to make sure we're competitive on pricing across the spectrum of products in the same tier that we're in. So, we want to make sure our super premium products are competitive with other super premium and our premium would be the same. Now, in any given retailer on any given day, could somebody have a hot promotional price? They could. You try to look at it over a marketplace in a period of time. And so, again, I would say we're competing, as is Procter, as is Unicharm, as is Kao, and it's sort of normal business. But a lot going on in China and it's a big, attractive market that I think a lot of people are investing in.
Javier Escalante - Consumer Edge Research LLC: But the one thing that – the push by Kao, (56:06) and Unicharm had been for a long time. So, basically the one new additional pressure seems to be coming from Procter. Now is when it coincides with your commentary about price competition, about your commentary about volumes being up, organic sales being lagging by a lot, volume. So, that incremental launch and pressure from Procter is what is making the market more competitive, because Procter still is much larger than you are in China in the diaper category.
Thomas J. Falk - Chairman & Chief Executive Officer: So, Javier, I guess I don't see it that way, but you'll have a chance to ask the P&G guys on their call in a little bit. And I would actually say I think the weaker yen gave the Japanese competitors a little bit more headroom to price competitively. There are some other things around free trade zone and imported product that benefited them over a short term. That's sort of closing off now. But there are some other things in that marketplace caused price to be a little bit more competitive in the first quarter, and we'll see what Procter has to say about it, next week sometime.
Javier Escalante - Consumer Edge Research LLC: Yeah. We will ask. Thank you very much.
Thomas J. Falk - Chairman & Chief Executive Officer: Thanks.
Operator: Our next question comes from Lauren Lieberman with Barclays.
Thomas J. Falk - Chairman & Chief Executive Officer: Hey, Lauren.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks. Hey, sorry. Didn't expect to get back in. Just one last lingering question on Brazil was just the degree which you're saying trade down or some of the, like, local players gaining some share, is that kind of you're accounting for volume declines in the market? Is that a dynamic you're seeing there at all or not really?
Thomas J. Falk - Chairman & Chief Executive Officer: I wouldn't say the local players gained share. I took a quick look at the share coming in. We were down about a point on diapers, and I think Procter was the one that was up, Paul. But I don't remember looking at it in diapers for the first two months.
Paul J. Alexander - Vice President-Investor Relations: Pretty flattish.
Thomas J. Falk - Chairman & Chief Executive Officer: Pretty flattish, yeah. And so, not a lot of big movement. And then on fem-care, we were up, like, 2.5 points in the Jan-Feb shares. But there's more national players there. So, I wouldn't say -- we are watching for that, though. Are they trading down even within our business within tier? And so, I think we are seeing a little bit more what we would call Tier 2 or the more value-oriented product mix shifting a bit, which is another sign of the consumers under pressure in that market, but we'll continue to watch that and see how it plays out.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. And that value-tiered diaper pant you mentioned, I'm sorry. Did you say which markets it was launching in or where or when?
Thomas J. Falk - Chairman & Chief Executive Officer: There's a bunch of markets that we're launching that in. So, really in a number of D&E markets across Latin America and Asia, in particular.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. Great. Thank you so much.
Thomas J. Falk - Chairman & Chief Executive Officer: Thanks, Lauren.
Operator: At this time, we have no other questioners in the queue.
Paul J. Alexander - Vice President-Investor Relations: All right, then. We appreciate all the questions today and we'll end with a closing comment or two from Tom.
Thomas J. Falk - Chairman & Chief Executive Officer: So, once again, we appreciate the interest in Kimberly-Clark. We've had good momentum, we've got a strong plan for 2016, and expect us to continue to deliver on our commitments. Thanks, again, for spending time with us this morning.
Paul J. Alexander - Vice President-Investor Relations: Thank you very much.